Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Educational Development Corporation's financial and operating results for its Fiscal Fourth Quarter and Fiscal 2025 Results. As a reminder, this conference is being recorded. On the call today are Craig White, President and Chief Executive Officer; Heather Cobb, Chief Sales and Marketing Officer; and Dan O'Keefe, Chief Financial Officer. After the market closed this afternoon, the company issued a press release announcing its results for the fiscal fourth quarter and fiscal 2025 results. The release will be available today on the company's website at www.edcpub.com. Before turning to the prepared remarks, I would like to remind you that some of the statements made today will be forward-looking and are protected under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed or implied due to a variety of factors. We refer you to Educational Development Corporation's recent filings with the SEC for a more detailed discussion of the company's financial condition. With that, I would like to turn the call over to Craig White, the company's President and Chief Executive Officer. Craig?
Craig White: Thank you, Chloe, and welcome everyone to the call. We appreciate your continued interest. I will start today's call with some general comments regarding the quarter. Then I will pass the call to Dan and Heather to run through the financials and provide an update on our sales and marketing. Finally, I will wrap up the call with an update on our progress of the sale leaseback of our headquarters, the Hilti Complex, and provide some comments on our strategy for fiscal 2026. During the fourth quarter, we experienced decreased sales compared to the same period last year. This was influenced in part by a reduced number of active brand partners in our PaperPie division. Across the broader marketplace, we continue to see fluctuations in consumer behavior driven by factors such as inflation and shifting discretionary spending among families with young children. These external pressures have impacted both customer purchasing habits and the pace of new brand partner acquisition. That said, one of the unique strengths of the direct selling model is its ability to flex and adapt in response to changing economic conditions. We believe that by staying close to the field, listening to our community, and remaining agile in our approach, we are well positioned to navigate the current environment and build a more sustainable path forward. We believe another factor in the decrease in sales is the lack of new titles over the past year. Although we did not make any purchases during this quarter, we remain committed to doing so in a strategic and financially responsible manner. We continue to be presented with new content and product offerings and are excited for the opportunity to introduce those to our catalog soon. During the quarter, we continued to offer increased discounts to customers, which negatively impacted our gross margin and bottom line. Our increased discounting has been a tactical decision to bolster sales and turn excess inventory into cash to be used to pay down our bank debt. We see this as a short-term strategy and will continue to offer discounts and promotions until the sale of our building and we pay back all of our borrowings. While we generated less sales during the quarter, our loss before taxes declined from last year. This reflects our continued focus on reducing expenses during this difficult environment. With that, I'll now turn the call over to Dan O'Keefe to provide a brief overview of the financials. Dan?
Dan O'Keefe: Thank you, Craig. To our fourth quarter results compared to the prior year fourth quarter, net revenues were $6.6 million compared to $9 million, average active PaperPie Brand Partners totaled 9,400 compared to 15,500. Loss before income taxes totaled $1.5 million compared to a loss of $2.2 million in the fiscal fourth quarter last year. Net loss totaled $1.3 million compared to a loss of $1.6 million and loss per share for the quarter totaled $0.16 compared to a loss of $0.19 on a fully diluted basis. Now, on to our fiscal 2025 summary compared to the prior year. Year-to-date net revenues totaled $34.2 million compared to $51 million. Average active PaperPie Brand Partners totaled 12,300 compared to 18,300 last year. Loss before income taxes totaled $6.9 million compared to income before taxes of $700,000. Net loss after taxes totaled $5.3 million compared to income of $500,000. Loss per share totaled $0.63 compared to earnings per share of $0.07 on a fully-diluted basis. Now, for an update on our working capital positions. Net inventories decreased $10.9 million from $55.6 million at February 28, 2024 to $44.7 million on February 28, 2025. Borrowings on our working capital line of credit totaled $4.2 million at the end of February 2025 with $600,000 of availability at the end of the fourth quarter. That concludes the financial update. I will now turn the call over to Heather Cobb to talk about sales and marketing opportunities in further detail. Heather?
Heather Cobb: Thank you, Dan. As Craig mentioned earlier, we continue to make strategic changes to bring fresh opportunities for success within PaperPie, especially related to our brand partners. One of the most visible examples during this fourth quarter was our Book Friday promotion, which offered deep discounts across our e-commerce platform and was met with strong engagement. In addition to the increase in customer activity, this event allowed us to move excess inventory, generate cash flow, and create energy within our community at a critical time of year. Another key initiative this quarter was the successful launch of our new shipping subscription program, The Pass. Designed to enhance the customer experience and encourage repeat purchases, The Pass offers members access to discounted or free shipping, exclusive perks, and special promotions throughout the year. We introduced two affordable tiers, Basic and Plus, to meet a range of customer needs and early adoption was a success. Not only has The Pass driven strong customer loyalty, but it has also created new opportunities for brand partners to re-engage past customers and build ongoing relationships rooted in both convenience and value. We also concluded our [StoryScape] (ph) travel incentive where top-performing brand partners could have earned a trip to Scotland. The qualification period officially ended on December 31st and we are thrilled to be celebrating those earners this summer. We immediately followed this by launching our next major sales incentive called A Piece of the Story, which offered a wide and tiered range of rewards and has been structured to encourage consistent sales activity across a broader segment of the field. As we've shared in the past, we believe strongly in in-person connection and development. Our 2025 StoryMakers Summit began during the fourth quarter and have us meeting brand partners in their neighborhoods, at least in some of them, as we travel to five regions across the country. Unlike our traditional national convention, these summits are intentionally designed as smaller, more intimate gatherings, allowing for richer conversations, deeper personal connections, and focused skill building. This structure not only provides attendees with more direct access to home office leadership and expert speakers, but also creates the space for meaningful peer-to-peer exchanges that inspire action and build confidence. We are already seeing how these more personal settings are fostering stronger community bonds, greater trust, and lasting loyalty among those attending. These summits are more than just training. They're energizing touch points that remind brand partners that they are seen, supported, and part of something bigger. This concludes the sales and marketing update for the fourth quarter. I'll now turn the call back over to Craig for his closing remarks. Craig?
Craig White: Thank you both, Heather and Dan. And now for an update on the Hilti Complex building sale process. Over the past few months, we have been working with the prospective new buyer and I'm pleased to announce that last week we executed a purchase sale agreement with the new buyer. This buyer has expressed interest since mid last year and we hope to complete the sale within the next 120 days. Some of the positive items with this buyer is that they have a good understanding of the market as well as the Hilti Complex. Additionally, they have agreed to a more expedited due diligence with half their deposit going hard after 45 days. I think this demonstrates a more higher level of commitment than our previous buyers. The agreement excludes the 17 acres of excess land which will remain under EDC's ownership and provide further strength for our balance sheet post building sale. The proceeds from the sale are expected to fully pay back the bank, leaving us with no debt and we expect to have limited borrowing needs moving forward. We continue to develop options for post-sale financing as well. Lastly, I want to thank all of our shareholders for their patience, our employees for their commitment to our mission, and our customers and brand partners for their loyalty during this difficult period. I am confident in our collective ability to emerge stronger and more resilient than ever before. Now that we have provided a summary of some recent activity, I will now turn the call back over to the operator for questions and answers.
Operator: [Operator Instructions] Our first question comes from the line of Paul Carter from Capstone Asset Management. Your line is open.
Paul Carter: Thank you. Good afternoon, everybody. Can you -- you mentioned there just about the buyer and the terms of the agreement. But can you disclose who is this TG OTC? Is that a local group? Is it a REIT? Is it -- any characteristics that you can provide about the buyer?
Craig White: Yeah, I think we're choosing not to disclose at this time. We kind of want to get to the initial part of the due diligence period before we disclose who the buyer is.
Paul Carter: Can you disclose what price you've agreed upon?
Craig White: I believe that's in the, what's been filed today.
Dan O’Keefe: Yeah, it's in the press release. $35,150,000.
Paul Carter: Sorry, totally missed that. Okay, so that $35 million, that's quite a bit below what you sold or what you had agreed upon with the previous buyer. Can you describe a little bit about just the local market there in Tulsa? Has it weakened significantly or is this more a reflection of just your desire to get this transaction completed as soon as possible?
Craig White: Well, a couple things there. Thanks for the question. That's not exactly true. With the last buyer -- well, the net proceeds are going to be higher with this sale than they were going to be with the last buyer, is what I'll say. So, all of our offers are netting us around the same amount over our last previous couple buyers, so we feel good about this one.
Paul Carter: Okay, that's great. And then just on the average sales consultant or brand partner, so I know obviously like four years ago that number was up around the 60,000 mark and it's been a difficult last four years for a variety of reasons. That number seemed to be bottoming out in kind of a low teens number, but then this last quarter saw a pretty, quite honestly, a pretty shocking re-acceleration in that drop. It is now, like this last quarter versus this quarter, it's down another 24% quarter-over-quarter. If my numbers are right, that's the biggest quarter-over-quarter drop that you've seen over the last four years. And again, I know the consumer environment is a little bit more difficult now than maybe it was a year ago, but is there anything more that you can sort of talk through like why such a large drop quarter-over-quarter and is sort of the thoughts of sort of bottoming out, has that been kind of pushed aside for the moment and we can see continued drops in the quarters ahead?
Heather Cobb: Yeah, good question. We tend not to look at quarter-over-quarter numbers just because of how drastically our seasonality is and there's all sorts of other factors. One of the biggest factors that we can attribute this drop to is we tend to run recruiting specials at various different times of year. We ran a significant special in early summer of last year. And so what happens is the way that we calculate our active brand partner count would see those that potentially joined during that recruiting special and did not continue with activity or remain active would drop off during this quarter. And so I think that that's the main factor that we're seeing here as a difference in the numbers that you're seeing there, Paul.
Craig White: Paul, I would also add that during this period of difficulty, we're throwing up red flags left and right to our field sales force. So I think they're kind of waiting to see what happens. Everyone's wanting us to see the building sale complete, move on from our current lender and get back to business, back closer to business as usual. So, and that includes buying new titles. Our lowest level of brand partner rely on new title releases to spur their activity, to call customers and whatnot. So, we've got to get back to where we can conservatively purchase new titles.
Paul Carter: Okay, no, that's fine. And then just last question -- yeah, last question here. So, your share count increased like [310,000] (ph) in the fourth quarter relative to the third. Was there anything unusual that happened in the fourth quarter that caused the share count to increase?
Dan O’Keefe: We had a vesting tranche in our LTI plan, long-term incentive plan, that was granted back in 2019 and ‘20 and vested on February 28th of 2025. And so that is the last component of our equity incentive plan. And we have no current equity incentive plan in place.
Paul Carter: Okay, and I do remember, yeah, thanks for that. I do remember that. I don't remember the details of it but I'm just going off memory here. I thought that was the vesting was driven by revenue growth or was that not part or was it just time vesting.
Craig White: The earning of it was based on hitting revenue and profitability targets and then vesting of it was a time vesting period. So it was earned back in ‘19 and ‘20, but there was a time vesting requirement.
Paul Carter: Okay. No, that's great. Excellent. Well, that's it for me. Thanks, everybody, and best of luck with the closing of the transaction.
Craig White: Thank you.
Heather Cobb: Thanks, Paul.
Operator: [Operator Instructions] Our next question comes from the line of [Daniel Balchin] (ph). Your line is open.
Unidentified Analyst: Hello. I hope you can hear me. So, my first question was sort of thinking about the longer-term future of these discounts that the company's offering. To what extent would you say that these discounts are a combination of just a lack of demand for the product rather than our own ability to actually not discount those products? What I'm asking is, are these discounts forced upon us rather than our own choice in order to reduce inventory?
Heather Cobb: I mean, I think a little bit of your answer is both and it is something that we are choosing to do in order to continue to pay down inventory, generate cash, reduce inventory on hand. I would say as far as demand for the product, it is definitely still there. We see that with all sorts of market numbers and different things like that. I'll refer back to what Craig said in one of the responses to Paul, talking about new titles. Sometimes that we see as more of a driver that people will come in excited about a new title. But as we know and we believe and we continue to see happen, everything is a new title to a new customer. And so as long as babies and kids continue to be born and grow up each and every day, the demand will continue to be there. And we intend to slow down the discounts in the coming months, so that we can get back to, air quotes, normal operations, and don't have to see this as a factor that we're relying on any further.
Unidentified Analyst: Okay. And in terms of the team's own understanding of the sort of the future of the company, say, looking 1.5 years, two years down the line, what's the sort of goal that the team has in mind, the revenue and the leanness of the balance sheet? For example, if we sell our Hilti Complex, then we have a significant cash inflow. Not all of that will go to paying off the bank debt. So -- and some of that will obviously be used to buy inventory. But what are your thoughts surrounding sort of your picture of the company in 1.5 years time?
Craig White: Yeah, that's a great question. Yeah, there'll be a little bit of excess funds from the sale of the building transaction in which we will start to purchase new titles. We are taking this opportunity to kind of define -- redefine who we are and what we want to be. And Heather has been to Bologna, Italy back in late March where vendors and publishers present content to us. And there's several companies that want to offer their entire product line to us. Now, we're not going to obviously do that. But we're very excited about a couple of product lines that we want to bring on. But again, we've got to be conservative. We've got to get back to profitability. Reducing our interest expense will go a long way. We're going to try to operate on our own cash flow. It's not very, very small borrowings from a new lender. And then rebuild this business.
Unidentified Analyst: And what's your own, for all of you three, what are your personal views on how the market is evaluating the company at the moment? Do you think that investors are missing something? Do you think investors have understood your plan correctly or do you think there's a misunderstanding?
Craig White: Well, I think they definitely understand that this has been a year, 15 months or so, and so the stock has held relatively steady between $1.20 and $1.50 for almost that entire period. So it's not like anymore investors are jumping out. We may not be acquiring many new investors, but I think we're all pushing towards getting this building sold. We've said it all along. We believe that once we get out from under our current lender and get back to having a little more flexibility to run the company the way we see fit, that we could be back going again. Now, we're stressing that we're going to have to be conservative about the startup after we sell this building. So, it's not going to be a quick fix. It's going to take some time. We've got to work through our excess inventory while bringing in some more inventory. So, that implies we're still going to be aggressively selling the inventory that we have now. But I don't think the investment community is missing anything. I just think we're all waiting to see what happens with this transaction.
Unidentified Analyst: Okay. And the final question from my end. What is the deal with the undeveloped land? I understand that the PG, as the buyer, they want to maximize their return on their capital. But what is the plan for that land? Because, of course, if we can reinvest capital much more efficiently in inventory or even, say, buying back shares, what's the use of this unoccupied, inefficient land?
Craig White: Yes, David, the land recently appraised for a value of about $2 million. But when you go to market with the Hilti Complex, the buyer really doesn't value the land because he values the leases that are existing in the complex. So, for us, it's about just getting through the sale, and then what we decide to do with that land in the future is really kind of a multi-path kind of option. We could sell it in the future. We could, right now, we have a lot of outside warehouse space that we're renting. There's a thought process that if we grow back to where we were in the pre-COVID days of $100 million, we're going to need some more space than what we have just in the Hilti Complex and we might use that space to build a warehouse on it. So, just lots of different ideas on what we can do with it, but the key thing is that the buyer wasn't going to give us much value at all for it, so our shareholders are better off with us holding on to it for a little bit and determining the best way to maximize the value of the land.
Unidentified Analyst: Okay, that's great. Well, you've got my support. So, thank you for another year.
Craig White: Yeah, I appreciate you, Daniel.
Heather Cobb: Thanks, Daniel.
Operator: There are no questions at this time. I would like to hand the conference over to Craig. Please go ahead.
Craig White: Okay, thank you. Another good call. I appreciate everyone's engagement. And in your continued support, we look forward to providing another update in July. Thank you.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.